Operator: Good afternoon, and welcome to the Fourth Quarter and Fiscal 2012 Gordmans Stores, Inc. Earnings Conference Call. My name is Angela, and I will be your operator for today's call. [Operator Instructions] I would now like to turn the conference over to your host today, Brendon Frey of ICR. Please go ahead.
Brendon Frey: Thank you, and good afternoon. Before we begin, I'd like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially from those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC and our earnings release. I would now like to turn the call over to Jeff Gordman, Gordmans' President and CEO.
Jeffrey J. Gordman: Good afternoon, and thank you for joining us for our fourth quarter and fiscal year 2012 earnings call. With me is Mike James, our Chief Financial Officer. I will start the call with the presentation of operating results from the fourth quarter and fiscal year and summarize several accomplishments that we realized in 2012 that we believe will position our company to capitalize on our many growth opportunities we have going forward. I will then provide a status update on our 2013 expansion plans and touch on our store growth prospects for fiscal year 2013. Next, Mike will present our financial results for the quarter and fiscal year in more detail, as well as discuss our guidance for fiscal year 2013. Finally, we will conclude the call by answering any questions you may have related to topics covered in today's call. Our fourth quarter performance was disappointing. Earnings per share of $0.41 exceeded our revised earnings guidance of $0.37 per share but were below last year earnings per share of $0.53. Net sales for the quarter of $202 million increased 9.4% over the fourth quarter of fiscal 2011, while comparable store sales declined by 4.1% compared to a 2.1% comparable store sales increase last year. The sales increase for the quarter was attributable to the 9 new stores opened during the year. For the quarter, our seasonal businesses suffered disproportionate, low double-digit decreases in selected categories such as junior tops, young men's, business casual tops, intimate apparel, jewelry, junior tops and kitchen trends lack sufficient selection that we strive to provide to our guests. Additionally, the new business intelligence system that was implemented in conjunction with our new enterprise merchandising system presented learning curve challenges, which negatively impacted business in the fourth quarter. Our Home Fashions business delivered the best performance by posting a low, single-digit comparable store sales decrease, while Apparel generated a mid-single-digit decrease and Accessories generated a high single-digit comparable stores decrease. Although the business in general was extremely difficult, we did have categories that produced increases year-over-year, such as men's sportswear, men's big and tall, boys apparel, misses bottoms, fashion plus, junior denim and bottoms, junior active wear, novelty decor, wedding, candles, holiday, home, furniture, home gifts, luggage and decorative pillows. For fiscal year 2012, Gordmans achieved sales of $608 million, which translated into a total sales increase of 10.2% over last year. Comparable store sales declined 0.7% for fiscal 2012 compared to a 0.7% comp store sales increase in fiscal 2011. Despite the overall comparable store sales decrease, Apparel, which comprises more than half of our revenue base, posted a low single-digit comparable store sales increase for fiscal 2012 led by our Misses and Children's division.  Home Fashions generated a low single-digit comparable store sales decrease for the year, while Accessories generated a mid-single digit comparable store sales decrease.  Net income of $23.5 million or $1.21 per share for fiscal 2012 represented a 6.5% decrease compared to 2011. Looking ahead to the first quarter, we are forecasting comparable store sales to be down low double digits and margins to be under pressure as we focus on rebuilding our assortments in the areas where we were deficient last year. Our current performance is also being adversely impacted by unusual weather patterns, with Apparel suffering disproportionately.  We are confident that we will get the business back on track and that a number of initiatives that were completed or commenced in 2012 will contribute to improve results as the year progresses as well as over the long term. I now like to highlight several fresh initiatives: First, we implemented our Oracle enterprise merchandising system, which provides us with much better business intelligence supporting tools, enables more sophisticated merchandise allocation algorithms, supports multiple distribution centers and much more. We have just begun to tap into the potential of this new system. Second, we piloted a guest loyalty program in the third quarter of fiscal 2012 in Utah and Colorado that is designed to reduce reliance on coupon events, while expanding our transaction frequency and average sale per transaction. Based on the success of this pilot, we plan to aggressively expand the loyalty program in 2013. Third, we are adding or intensifying important nationally recognized brands including Nike, Hurley, Fox, PGA TOUR, IZOD Golf, Adidas, Calvin Klein, Kenneth Cole, Trukfit, Miss Me, Big Star, Buffalo, Lucky, Nine West, Gas, Kathy Ireland, Warner's, Maidenform, Marilyn Monroe, Yankee Candle and WoodWick Candles just to name a few. Fourth, we developed a new television branding campaign that has been validated through market research as being the strongest of any of our campaigns since 2009 in terms of motivating store business, relevancy and believability. Fifth, we implemented several new store-based technologies, including mobile POS, mobile credit, service call buttons, traffic-counting technology, and we're in the process of refining our store labor management processes supporting technology. Sixth, we entered into a lease for a second distribution center in Indianapolis with a 100-store capacity to support our expansion strategy which will open in fiscal 2014. Seventh, several talented associates joined our executive officer team in fiscal 2012, including Tracie Wickenhauser, our Senior Vice President of stores and former executive of Kohls and Target. And Roger Glenn, our Senior Vice President of Human Resources and a former Senior HR executive with Safeway and Mervyn's. In addition, Mike Morand, previously our EVP of Planning and Allocation moved into the EVP and Chief Merchandising officer role last month, following the departure of our previous CMO, Johanna Lewis. Mike joined the company in 2007 and previously held senior-level positions in merchandising and strategic planning, allocation and marketing for the May merchandise -- May merchandising company in Lord & Taylor in Los Angeles, St. Louis and New York. Finally, we continued to enjoy tremendous landlord participation with respect to the total project of new stores. For our 10 2013 stores, our real estate development partners contributed an excess of 95% of the more than $30 million of capital costs associated with these stores. Developers are also funding in excess of 90% of the capital costs for the 2014 stores that are currently in our real estate pipeline. There are 3 primary categories of merchandising initiatives that we believe will have a meaningful impact on comparable store sales. These relate to people, processes and talent. First, we are acting quickly to elevate talent. As I just mentioned, Mike Morand was promoted to Chief Merchandising Officer last month. Mike brings over 20 years of senior level experience and demonstrated success in his position. We are also in the final stages of selecting a new SVP of Planning and Allocation, who will bring tremendous acumen, energy and leadership to this position. Secondly, we are returning to a fast-read, fast-react approach of managing receipts and inventory, leveraging our business intelligence tools and pattern recognition-based technologies. We are planning inventory turnover faster than last year, which will maximize our ability to quickly react to trending businesses and to maximize the currency of our inventory. And finally, we are working to improve product selection, the most important driver of guest loyalty and comparable store sales growth. We are injecting greater diversity and breadth into assortments to ensure a better balance by category price, lifestyle, and brand via merchandise classification. We continue to acquire and intensify a highly recognized national brands, many of which I mentioned earlier. Regarding expansion, we opened 9 stores in 2012 and 4 new in 2 existing markets, a 50% increase in new store growth compared to the previous year. Six of these were stores were in new markets for Gordmans, Salt Lake City, Ogden, Boise, and Indianapolis, with the remainder in existing multi-store markets of Denver and Minneapolis. We grew our store base by 12% to 83 stores in 18 states from 74 locations in 16 states. In aggregate, sales from the new stores that we append last year are performing within 5% of our new store model, while the new stores that we opened from 2008 to 2012 are performing in aggregate at our new store model. We will open 10 stores in 2013, a 12% expansion of our store base over 2012. 3 locations opened earlier this month, 4 will open at the end of the second quarter and 3 will open towards the end of the third quarter. We will expand into 6 new markets and 1 new state with locations in Albuquerque, the Louisville-Kentucky MSA, Milwaukee, Green Bay, South Grasso [ph], Indiana, and Mina, North Dakota, as well as the existing markets of Salt Lake City and Peoria, Illinois. Moreover, half of our new stores through 2013 are ground-up construction projects, and developers are funding 95% of the total capital costs for all 2013 stores. Including the addition of these pending stores, Gordmans will have increased its number of stores by 37% since the end of fiscal 2010, expanding from 68 to 93 stores. We are aggressively focused on our store expansion plans for 2014, during which we intend to open at least 10 locations. We are currently in various stages of negotiations for several sites in a combination of new and fill-in markets, including Texas, Michigan, Indiana, North Dakota, Milwaukee and Des Moines. Mike will now present our financial results for the fourth quarter of fiscal year 2012 in more detail, as well as our guidance for fiscal 2013.
Michael D. James: Thank you, Jeff.  Before I walk you through the results, please note that fiscal year 2012 was a 53-week fiscal year, while fiscal year 2011 was a 52-week fiscal year.  Comparable store sales presented are for the 13- and 52-week periods ended January 26, 2013, as compared to the 13- and 52-week periods ended January 28, 2012.  Sales for the 53rd week of fiscal 2012 were $6.3 million. Net sales for the fourth quarter of fiscal 2012 increased $17.3 million or 9.4% to $202 million versus $185 million, the same period last year. This increase was primarily due to the 9 stores opened in fiscal 2012.  Comparable store sales decreased 4.1% in the quarter of fiscal -- in the quarter, driven by a decrease in comparable transactions and partially offset by an increase in the average sale per comparable transaction and an increase in the units per transaction. Gross profit, which includes license fees, increased 5.5% to $78.4 million and license fees from leased departments increased 5.3% to $1.9 million.  Gross profit margin was 38.7% for the quarter compared to 40.1% last year, a 140 basis point decrease, primarily driven by higher markdowns, which resulted from the sales shortfall and higher shrink as a percentage of net sales, which is primarily attributable to the system conversion. SG&A expenses were $65.6 million or 32.4% of net sales versus 31.3% of net sales in the prior year, a 110 point -- basis point increase, driven primarily by a lack of sales leverage, which accounted for a 70 basis point increase in store level expenses and higher depreciation expense of 40 basis points due to increased property additions associated with new store openings and investments in upgrading our information technology systems. Net income for the fourth quarter of 2012 of $7.9 million compares to $10.2 million last year, a 22.2% decrease. Our combined estimated federal and state tax rate for the quarter was 37.5% compared to 36.8% in the prior year's quarter. An adjustment was made in the fourth quarter of fiscal 2011 to true up our annual estimated tax rate from 38% to 37.5%. Diluted earnings per share of $0.41 based on 19.4 million weighted average shares outstanding exceeded our most recent guidance by 14%, which is in the range of $0.35 to $0.37. This includes approximately $0.04 of EPS from the extra week in fiscal 2012. Diluted earnings per share last year were $0.53 per share based on 19.4 million shares. Now to our fiscal year 2012 results.  Net sales for the fiscal year increased $56.2 million or 10.2% to $608 million, which was due primarily to the 6 new stores opened last year and the 9 new stores opened this year, which should be 2012. Comparable store sales decreased 0.7% compared to last year's 0.7% comparable store sale increase, driven by a decrease in comparable transactions and partially offset by an increase in the average sale per comparable transaction. Gross profit, including license fees, increased 9.4% to $264.8 million, and license fees increased 10.4% to $7.4 million.  Gross profit margin decreased 30 basis points to 43.6% for fiscal year 2012 compared to 43.9% in fiscal year 2011. The decrease in gross profit margin was due to an increase in markdown, particularly in the fourth quarter and higher shrink as a percentage of sales. SG&A expenses for the fiscal year 2012 were $226.7 million or 37.3% of sales versus 36.5% for fiscal year 2011. This 80 basis point increase was primarily due to higher depreciation expense of 30 basis points, higher store expenses of 20 basis points and higher distribution center expenses of 20 basis points, some of which was fuel related, which resulted from the shortfall in sales, primarily in the fourth quarter. Net income for fiscal year 2012 decreased 6.5% to $23.5 million and $25.2 million for fiscal year 2011. Our combined estimated federal and state tax rate was 37.5% in both fiscal 2012 and 2011, diluted earnings per share of $1.21 compared to $1.30 last year. I would now like to turn to our balance sheet.  Cash and cash equivalents increased by 15% to $40.8 million compared to $35.4 million at the end of fiscal 2011. Our working capital was $82.9 million at the end of fiscal year 2012, 37% greater than a year ago. And we had no borrowings in our $60 million revolving line of credit during the fiscal year 2012.  Inventory was $78 million at the end of fiscal year 2012, up 19.4% compared to last year's level of $65.3 million, but represented a 6.5% increase on an average store basis. With respect to forward-looking guidance, we're projecting first quarter fiscal 2013 net sales to be between $128 million and $130 million, which reflect a low double-digit comparable store sales decrease versus a 4.7% comparable store sales increase generated in the first quarter of fiscal 2012. We project diluted earnings per share for the quarter to be between $0.11 and $0.13 using a diluted share count of approximately 19.4 million shares. Embedded in this guidance are assumptions for gross margins of approximately 43%, which reflect higher markdowns versus a year ago. Based on current business, it's somewhat challenging to project the full year with a reasonable amount of certainty. However, we want to provide you with a few thoughts on how we are currently viewing the year. For fiscal year ending February 1, 2014, a 52-week fiscal year compared to 53-week fiscal year 2012, comparable store sales are being planned down low single digits but are projected to consistently improve as the year progresses. The shortfall in gross profit margin to last year is anticipated to moderate in the second quarter vis-à-vis the first quarter and is projected to be flat just slightly higher than last year for the second half. Depreciation will increase by approximately $3 million or 48% compared to 2012. Our diluted share count is expected to remain at 19.4 million shares for the year. As a reminder, fiscal 2012 was a 53-week fiscal year. Sales or EPS related to the 53rd week were $6.3 million and $0.04 respectively. From a capital expenditure perspective, we plan to spend approximately $16 million to $17 million during 2013, which represents approximately 2% of sales for recurring capital needs, plus CapEx for new stores, which is estimated at 8% of the total cost of a new store buildout, including the leasehold improvements and FF&E. In addition, we plan to spend approximately $18 million to $20 million for non-recurring capital needs, which include our second distribution center and a new corporate office to support our growth plans that we will occupy in fiscal 2014. We expect that depreciation expense will increase approximately 40 basis points in 2013 and preopening expenses will remain flat as a percent of net sales for the 10 new stores opening in 2013 versus the 9 stores that we opened in 2012. I would now like to turn the call back over to Jeff.
Jeffrey J. Gordman: Thanks, Mike. As mentioned earlier, we are disappointed with our comparable store sales and overall financial performance of the fourth quarter of 2012 and our outlook for the first quarter of 2013. We're confident, however, that the strategies we have in place today will allow us to generate more favorable results as the year progresses. We would now like to open up the floor for questions.
Operator: [Operator Instructions] And we'll take our first question from Neely Tamminga with Piper Jaffray.
Neely J.N. Tamminga: Jeff, a couple of questions if I may. First [Audio Gap] when you kind of not recovered necessary from the level that we saw earlier from a traffic perspective. Just trying to get a sense of the traffic component. And I have 2 follow-ups.
Jeffrey J. Gordman: Neely, I'm sorry, for some reason, you didn't come clear until the very end with your question. Can you repeat it, please?
Neely J.N. Tamminga: Yes, yes, sir. So the traffic component of the comp trend in the quarter, has that been pretty consistently inconsistent in terms of the choppiness? I mean, you've seen some good weeks from the traffic perspective and then some not. Or has it just really not recovered from the levels that we saw in Q4?
Jeffrey J. Gordman: You're asking about traffic by week in the fourth quarter, is that right?
Neely J.N. Tamminga: And how that's related to the Q1 to date trends, Jeff?
Jeffrey J. Gordman: Sure. Well, essentially, for the quarter -- for the fourth quarter, we experienced a decrease in comparable transaction, that was partially offset by an increase to the average sale per transaction, so that's what constituted the fourth quarter. And, similarly, for the fiscal year, we experienced a similar decrease in comp transactions that was partially offset by an increase in average sale. So that's kind of the storyline going through to the first quarter as well, where it's a pattern of the average sale outperforming the comparable transaction, that's the dynamic that we're currently facing.
Neely J.N. Tamminga: Okay. And then if I may, a follow-up on the -- some of the promotions and new talents, in general, as they jell together as a team. Jeff, when would you be -- expect them to be able to be able to really best reflect their touching of the assortments?
Jeffrey J. Gordman: That's a great question. As I indicated in my prepared remarks, we see, as the year progresses, our performance improving. And part of that improvement will be due to the changes that we have made may, not only in the leadership team, but kind of throughout the organization, starting with merchandising, planning and stores. So you can expect to see, once again, as the year progresses the impact of those talent changes on the business.
Neely J.N. Tamminga: Would you consider that to be most pronounced than in Q4? Is that what we're supposed to be intimating from that?
Jeffrey J. Gordman: I think that we'll experience a build as the year progresses, but I don't think it's going to be until the fourth quarter before we see a change in the business, no. So we'll start to see changes well before the fourth quarter.
Operator: And we will now take our next question from Erika Maschmeyer with Robert W. Baird.
Erika K. Maschmeyer: Can you give us your take on just, overall, the macro, the competitive landscape? Any impact you think you've seen from the higher payroll tax year to date? I'm just trying to figure out kind of what proportion of the comp trend that you're seeing in Q1 is self-inflicted versus any changes in the environment?
Jeffrey J. Gordman: Erika, that's a great question. And that's probably the 64,000-dollar question. Our whole philosophy is we focus on the controllables versus exogenous variables like payroll taxes, competition, et cetera. So while that may have some impact, whether it's macro-economic environment, whether competition, we believe that we do have the ability to control our comparable store sales growth and to drive that comparable store sales growth through for micro-initiatives that I articulated in my prepared remarks.
Erika K. Maschmeyer: So, really, the change in the trajectory that you've seen, you think, is largely due to some merchandising missteps on your part more than...
Jeffrey J. Gordman: Well, I guess, the combination of some merchandising missteps, then I think we've taken a tremendous number of corrective actions, including changes in leadership and refocus on selection, which is the #1 loyalty driver articulated by our guests. So as well as, certainly, there are issues related around how we flowed merchandise. And we probably concentrated our received flow too heavily in the months of October and November, which resulted in problems from the system dynamic perspective that manifested themselves -- distribution center, as well as in stores. So there are -- I think there are a variety of issues that were behind our comp store sales growth deterioration, not only merchandising, not only received flow, but just growing pains associated with a lot of the initiatives that we put in place in 2012, a lot of the technology-based initiatives that I spoke to earlier, including the implementation of the -- our Oracle ERP to the learning curves associated with our new business intelligence system to the efforts that went into deploying local POS, that went into deploying the loyalty program pilot, as well as just opening 9 stores. So it wasn't just focused on merchandising, but I believe that all of the work and initiatives that did take place in 2012, in concert with the changes in elevation of our talent will have a very positive impact on our business going forward, not only later this year, but over the long term.
Erika K. Maschmeyer: Okay. And can you explain the higher shrink from the system conversion? I know you mentioned a learning curve that you faced there.
Michael D. James: Well, this is Mike, Erika. The -- I think anytime you have a major systems conversion, the underlying accounting for what is charged as a markdown, et cetera can sometimes get impacted. And we think that's, in large part, what happened with this system conversion. While we wanted to certainly avoid it going in, we think that was the biggest driver for the negative shrink percentage that we saw in excess of what our plan was in 2012. We certainly anticipate that will improve and will be back to normal shrink levels in 2013.
Jeffrey J. Gordman: And we're only talking about a 30 basis point deterioration at retail, which translates into approximately 15 basis points of comps in terms of that shrink deterioration.
Erika K. Maschmeyer: Okay, that's helpful. And then any thoughts around the timing -- or details you can share on the timing of your loyalty rollout? And do you have some early metrics there from your test to the program that have led to your decision to roll it out further?
Jeffrey J. Gordman: Yes. First, as far as success, with respect to loyalty, we experienced a pretty meaningful increase in our average sale per transaction, which we're very pleased with. With respect to the comparable stores that comprised part of the 12-store loyalty pilot or the 10-store loyalty pilot rather, those stores increased -- generated a incremental comparable store sales increase that was noticeable. We are certainly pleased with that. And the penetration of loyalty sales relative to total sales for the pilot stores exceeded our expectations as well. So we believe that this loyalty program has pretty significant potential that passively  impact our comparable store sales, as well as our gross margin. So we're in the process of determining the precise timeline to roll it out. But we plan on rolling it out aggressively this year.
Operator: And we will now go to Richard Jaffe with Stifel, Nicolaus.
Richard Ellis Jaffe: And just a couple of follow-on questions. Can you help us understand new store performance and their performance on a per-store basis compared to the existing fleet?  Would you say they were performing in line with the fleet better than -- less than? And if less than, how do you see the ramp up is shaping up for these new stores?
Jeffrey J. Gordman: Sure. Well, for our -- if we take a look at our new stores opened over the last 5 years, from 2008 to 2012, in aggregate, they are performing at a level that is commensurate with our new store model from a sales standpoint. And if we take a look at 2012, those stores alone, they're performing within 5% of our new store economic model.
Richard Ellis Jaffe: And could you remind us what the new store economic goals are?
Jeffrey J. Gordman: Sure. Sales are $7 million, and net income is -- for our operating profit, it's $900,000 roughly.
Richard Ellis Jaffe: Great. And could you just comment on inventory plans for 2Q, where you think you're going to end 2Q where you'd like to end?
Michael S. Morand: This is Mike Morand.  We're projecting Q2 inventories to be in the level of a low single-digit increase versus last year on a average store basis.
Richard Ellis Jaffe: Great. And care to comment on the weather?
Jeffrey J. Gordman: While I've read a couple of your recent research reports, Richard, and I know what your view is there, but it is what it is. It's -- certainly, we believe that it's had some negative impact on our business, there's no question about that. That being said, what we're focused on is think flexible, staying liquid and being able to pro-act relative to that weather, making sure that we continue to manage our received flow, that we focus on categories and brands that are working to drive the business going forward and having confidence that as those exogenous variables like weather changes, we're prepared with a very strong selection of brands, fashions and style that will resonate.
Operator: [Operator Instructions] And we'll take our next question from Evren Kopelman with Wells Fargo.
Evren Dogan Kopelman: I wanted to ask about inventory by category. How you feel about it coming out in Q4 or even now with some of the weather impact? And also the markdowns. I think your gross margin guidance for Q1. Does that assume you'll take a lot of the markdowns in this quarter, in Q1, on maybe some of the slower moving Apparel because of the weather?
Jeffrey J. Gordman: With respect to inventories, we don't comment on inventories, really, by category. I can tell you that we are managing inventories aggressively and focused on really executing to a sales inventory and receipt plan that contemplates a higher turnover versus last year, that's what our intention is in terms of how we're running the business. The gross profit margin for the first quarter does, in fact, reflect markdowns that we feel that we need to take to address some of the inventory issues and slower business that we've experienced in the quarter yet.
Evren Dogan Kopelman: Okay. The other question is when you think about -- well, 2 things. One is I don't know if you have traffic counters, but do you feel that transactions declined in Q4? Is it more that people are coming into the store, maybe not liking what they see? Or do you think there's a true traffic decline? Or how much is each component, if you have an idea, if you have a feel for that?
Jeffrey J. Gordman: Sure. Well, in the fourth quarter -- if we look in the fourth quarter, while fewer guests were entering our stores, they were buying more. So I would say that, that's a positive. As I said before, for that quarter, we experienced a decrease in comparable transactions, which is a proxy for traffic. We do -- we have implemented retail next traffic counting technology in all of our stores. We initiated that implementation in June of last year and rolled it out as the year progressed, but we don't have year-over-year comparisons with respect to traffic. But certainly, we're utilizing that to manage and monitor conversion. But, to answer your question, the guests that are coming in are buying more based on what happened in the fourth quarter and for the fiscal year.
Evren Dogan Kopelman: Okay, that makes sense. And lastly on marketing. I mean, I think you have some new initiatives. How do you feel about those kind of --  the type of marketing you will do this year based on the learnings, and also maybe the dollars of marketing? If you can comment on that, how you think about flowing that through  this year?
Jeffrey J. Gordman: Sure. Our marketing spend is, in aggregate, as a percentage of sales, we're planning it to be commensurate with last year's advertising to sales ratio. We are very enthusiastic about our marketing initiative this year. We consider loyalty to be one of those marketing initiatives. And as I I've said before, we certainly experienced some palpable successes on a variety of metrics, and so we're leveraging that momentum. We've rolled out loyalty to  one additional market this year, as well as 2 stores -- 2 additional stores that are -- were in an existing loyalty market. So right now, we have 17 stores on loyalty. We also have recalibrated our television marketing so that it's more focused on selection, in concert with savings and quality, which is what really resonates with our guests. And to that end, we have developed, essentially, some commercials that are just targeted and just gated to seasonally relevant time frames, where we're going to be presenting merchandise on television in terms of a 15-second spot and stack it with branding spots to G-team [ph] action hero branded spots. So that is, certainly -- I believe that will make a difference. In concert with the fact that we are concentrating our marketing spend from a TV perspective in fewer market that represent still almost 90% of our sales, so we're basically moving some of that marketing spend from markets that are generating a lower contribution of sales or bringing a lower contribution of sales, and by so doing, we'll actually be able to increase our marketing spend in terms of target rating points by double digits, 12% in 28 markets. So that's pretty significant. So between our -- the change in recalibration in our media-buying strategy to the creative strategy, where we're augmenting our branding commercials with merchandise-related commercials, that should have a positive impact on the business. And then from an e-mail perspective, we have a pretty significant e-mail marketing strategy and database that exceeds 700,000 names. And we are essentially focused on delivering on -- basically articulating selection messages by product category on a weekly or every-other-week basis, which we did not do last year as well. So those are a few of the changes that we've made with respect to marketing.
Operator: And we will now take a follow-up question from Erika Maschmeyer with Robert W. Baird.
Erika K. Maschmeyer: Just a clarification on one of Evren's questions. I think you said guidance includes some necessary markdowns, I'm just trying to get a sense for how much of the kind of bad inventory you cleared in Q4 versus how much has carried over into Q1?
Michael S. Morand: Erika, it's Mike Morand. At the end of Q4, we actually ended with our age inventory, only slightly higher than last year, so we did not carry forward age inventory or seasonal product to any great degree higher than last year.
Jeffrey J. Gordman: And that, actually, was reflected in our gross margin deterioration in the fourth quarter due to our focus on clearing out that inventory.
Erika K. Maschmeyer: Okay. So then the Q1 guidance is more reflective of the newer merchandise flowing in is moving more slowly essentially?
Michael S. Morand: I'd say it's really the transitional merchandise that we delivered in December and January. We're being aggressive in terms of clearing that through. It's not so much the spring seasonal products yet, but it'll be the transitional product.
Erika K. Maschmeyer: Okay. So the spring product is performing better than the older products?
Jeffrey J. Gordman: I'd say, we've actually had some reasonably good checkouts already on our spring products, yes.
Erika K. Maschmeyer: I'm assuming better in regions that aren't getting blasted by snow or cold?
Michael S. Morand: That's...
Jeffrey J. Gordman: That would be accurate, yes.
Operator: That concludes today's question-and-answer session. Mr. Gordman, at this time I'll turn the conference back to you for any additional or closing remarks.
Jeffrey J. Gordman: Thank you. In closing, I'd like to reaffirm our belief that we will manage through the challenges a company is currently enduring and position Gordmans for a lengthy period of consistent growth. And hopefully, a lot of the changes and initiatives that I articulated and we articulated earlier is evident of that belief. Our mission to delight our guests with big savings, big selection and fun-friendly associates is truly unique in the industry as is our selling proposition which is a reflection of our mission to provide a big selection of apparel for the family, accessories and home decor, outstanding savings every day in a fun, unique, energetic and easy-to-shop experience. We believe our concept resonates with consumers at all income levels, and that there's sufficient real estate opportunities available to sustain a long period of new store growth. Thanks so much for your continued interest then and in support of our company.
Operator: Ladies and gentlemen, this concludes today's conference. We thank you for your participation.